Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Atlantia 2019 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Carlo Bertazzo, CEO of Atlantia. Please go ahead sir.
Carlo Bertazzo: Good evening to everybody and thank you very much for attending this conference call about 2019 results. I asked to join me also the four CEOs of our main subsidiaries. Roberto Tomasi is CEO of Autostrade per l'Italia; and [indiscernible] and Gabriele Benedetto, CEO of Telepass; and [indiscernible]. We have also Pepe [ph] [indiscernible] the CEO of Abertis; and then we have also new CEO of ADR from few hours that is Troncone Marco. I'd like to introduce this kind of presentations that first of all refers to thinking a lot of time about nuts with full year results 2019, but obviously which is our priority for the new CEO I think account all this, that we are focused on realty and the unpredictable COVID-19 era. The presentation is divided into two parts; first of all, about the key priorities for this year and the second part about 2019 figures. I think that Page 3 just to give you Atlantia at a glance with its main key figures. I don’t like to spend a lot of time about each one figure because there is also a press release available for you with plenty of details and the annual report will be available the day after tomorrow. That's a few words by the - our key assets first of all is Autostrade per l'Italia, then there is International Motorways including Abertis, Brazil and Chile. Then we have Airports and last one is more important also is Telepass. About this page I think that we have to consider that this 2019 for Autostrade per l'Italia was very, very important year and the company the top management launched the full transformation plan in terms of process, in terms of maintenance CapEx and also in terms of innovation and focus on strategy and quality of services. A new CEO is in place is Roberto. There is also the new Board of Directors in place with the majority of board directors independent. About our International Motorways the acquisition of a majority Abertis is then in the team of Abertis dedicated a lot of time just to refinance €6 billion about the acquisition [indiscernible] that we did and then internal operating results I can say that is better than expected and in the following pages of the presentation we have some details. In terms of acquisition M&A activities I think it is important to remind that Abertis Group reached an agreement to acquire RCO in Mexico which is a very important partner like GIC. Airports, we are leaving very difficult time right now, that I think that it is important to remind that Rome and Nice is top of mind destination and Rome airport is in terms of quality of services achieved for second year the best-in-class for European and American airports for quality of services. Telepass, we did here a lot of timing the following page about Telepass, because it is increasing obviously the presence we have in European countries, especially which is a business, activities business is not consumer, but the business tract is all and also using new services like digital payment mobility services, also insurance policies. There is a new Board of Directors of Telepass in place for a few months and we select key competence for in the industry especially digital payment, insurance, and our services. I'll move fast to Page 4 and just to have an overview, comprehensive overview about the different businesses that we have dividing the Italian Motorways, Overseas Motorways, Airports and Telepass. That's I'd like to stress in this page the last line, the first time I think that represents the group EBITDA divide four different business, but with different approaches, not accounting approach is looking forward which is the weight of each one business looking for the future EBITDA which takes account of its final concession [ph] and the stakes that we hold. If you look at the page at the end, Italian Motorways, Airports means Italian Motorways Airports and Telepass of close to 75% of the huge EBITDA comes from here and I remarked that Italy is a cool country for country group and the strategy will be to continuing growing outside Italy. And international activities is 24%. It is the last part of this 24% coming from Abertis, but just to remind that we own only 50% of Abertis. I think that these few words about 2019 figures and I'd like to spend more time on the following page, especially which is our key priority for the top – as top management of the company is for 2020. And my priority, priority of the team I select four different clients. One is to resolve as soon as possible the outstanding entire issue after the general Bridge and unlock its capacity for future investments. There is a lot of work, a lot of details and I prefer we will spend more – a lot of time about these topics. Second is mediation [ph] about COVID-19, we are suffering. You know very well that the traffic in these last weeks we are speaking about loss of 70%, in some countries 80% also the airport is completely closed because of the traffic is down 95%. That we are working now to put in place as much as possible, revise the CapEx, revise provisioning expenses and thinking how to restart. Third, is important [indiscernible] now and we have a lot of information to provide to you how we deal about the liquidity for the next months. Fourth, just looking for the future is how we intend to reorganize the group for the next coming year and which is the strategy that we'd like to put in place. Turning the page is Page 6 and I think that Roberto is your time and just to, I don’t know, illustrate what does mean for us full transformation plan about Autostrade per l’Italia. I will leave you the floor.
Roberto Tomasi: Okay, thank you Carlo and thank you to everybody. We start to explain what we have done in the 2019 and specifically we are starting from the transformation plan. As you can see from this chart, we have underlined which are the seven pillars which we have work and for which we will work in the next five [ph] years up to 2023. The first one is obviously our values. We have to confirm our values, integrity, work ethics, and all is around professionalism. This is very, very important for us. Also due to what happened on the Morandi Bridge on August 18. The second one is the safety on all the aspects. We are speaking about 360 degrees and we are speaking about the target to improve our safety level for the accident rate on the roads and we have work and we have defined the important target to reduce the level of the safety index for our workers, but also for the workers for the company that worked for Autostrade. For that, we are looking to decrease and to reach a number so that 70% lower to the numbers on equivalent to competitors in our market. The operational excellence we have worked a lot in 2019 and we are still obliged to work and we are still convinced to work in the next year to confirm and to add a clear view about all our infrastructure as we will see later on we have work and we have made a lot of inspection. We have increased our expenditure for inspection doubling and so it is more than 100% of the level of expenditure that we have put to increase out level of inspection [indiscernible] parks and so we have stronger external engineering competence. Four, the digitalization is another key issue of our view. For that we have tried to imagine our future and so we have designed a plan now to 2038 that is the date of when we will aspire the concession and we are foreseeing more than €200 million on digitalization. We are speaking about asset digitalization and we are speaking about asset digitalization and we are speaking about all the business intelligent digitalization in our [indiscernible]. It still remained crucial for Autostrade. The customer, for the customer, also for that we are designing an important target to improve starting throughout the customer journey in order to improve our services, our level of services. I want to close with a green infrastructure, how we can try to sustain the mobility of the future. We have defined a plan, which we will install in more than 67 service areas the electric charger. We are working on - to produce directly electricity and we are seeing to define green area to reduce the carbon emission. Finally, the last one that is the key point of our view is the development and growth of all of the human capital. For that we are thinking to add more than 1000 people within 2023. Moving to the numbers, linked to maintenance and CapEx plan. Just to give you an idea of the possible impact of our plan, you can see, we are thinking to increase mainly with the CapEx0 plan, the additional level of employment of 25,000 of employees if we will put in place our CapEx plan. And for each euro that we will spend there is leverage in terms of GDP that is 2.46. For the maintenance expenses we have advised and we have a strong confidence about our viaducts, the status of our viaducts and bridges. We have made double check of the 100 viaducts and the bridges of our infrastructure. We have launched deep assessment of tunnels. We have already mostly completed the first mile and we seem to complete the deep assessment within the 2020. Finally, we are revising completely our maintenance standards and our paving works. Just to give you the numbers compared to what happened in the past, we work and we think to renovate more than 40%, we have increased more than 40% all of the road surface renovation. We have planned that within 2023 more than 500 of interventions of main bridges and we are scheduling 130 works on overpasses. For the CapEx we have revised several times into 2018, 2019 the CapEx plan and in order to be sure that this is the final target we have revised up to €13.2 billion that starts our investment plan scheduled in the next 18 years. There are still €1.3 billion under this cash and with the [indiscernible] infrastructure, but that we are completely open to discuss with them in order to increase and to improve these investment plans. Let me say finally about that, that the network modernization is one of the key issue. We have to understand at Rome what happened in Morandi Bridge that there were also the necessity to revise completely the strategy how to move the infrastructure to the 2038 without any criticalities. Lastly, we have already discussed Carlo is playing a better the settlement with the government is obviously a key issue for Autostrade per l'Italia. Here we have underlined which are – what we have proposed to the government in the 5th of March the €2.9 billion proposed that we will see more countries when that - these are the mainly key figures of this proposal. The first one is the €1.5 billion that mainly is due to traffic discount for target customers along the concessional life and additional not remunerated the CapEx that we are open to support. For this particular point if it is open to discussion with the ministry, in order to the final back how to fix these numbers in the specific chapter of what we have thought also. There is another important numbers that are the €700 million that we have already included in our proposal and that you have already seen in the maintenance plan in which we have proposed to the ministry to increase our level of services or maintenance service without any compensation on the tariff. Finally, there is the amount that we have already supported for the general community and that we are hoping to increase in order also to include other measurement for the general community. The sum of these full year elements that make the €2.9 billion that we have already covered in the provision of the 2018 and to 2019. I believe in order to…
Carlo Bertazzo: Thank you very much, Roberto. I would like to go over Page 9 and just to go in more detail about the proposal to the governments in terms of settlement amounts or Roberto already described with a case of about €2.9 billion and different allocation and the – our key points of the transaction and the discussion with the governments is for new rules and for news, so called Milleproroghe Decree. And at the end of the last year they have modified the average communication course. Especially I think that we are to come back at the general course that covers two most important points from a financial point of view. First, the indemnification to base to market value of our assets and [indiscernible] the tax determination as to upon the payment of indemnification. It is very important for the market. It is very important in account of the company if put in place this time of huge investment plan for the next six to seven years we are speaking about a GAAP finding of higher [indiscernible] 11, 12 [indiscernible] Europe. We have to cover this amount through with that capital markets and absolutely we have to regain the investment grade from the [indiscernible] just to prevent and to achieve enough amount from a financial point of view helps us to capital markets. It is a key point for us. It is a key point under discussion with the government and I think that we have to reiterate anytime the key elements for a long-term investor while the [indiscernible] to have the client assess of the markets. Then last April, the company presented to the guarantor so called path or economic financial plan. We are waiting the former answer from the governments. And that indicates for the first time the company presents to the government to the guarantor a draft of the guidelines, draft of the path in line with the new regulation provided by the consultation authorities in Italy. This kind of plan for our point of view obviously, granted the return on investment [indiscernible] and reproduce also some requests for compensation from the COVID-19 impact that is we will be close to $1 billion less revenues is the best estimate that you have right now, and we are working with a guarantor also about this kind of formal compensation. Page 10. Just a few weekly impact of the COVID in our motorways and also the airports. You know that the company at the beginning of March decides to go details weekly basis about the mains [ph] crafting impact. We make a sensitivity and assuming that the lockdown have to release from May, and the recovery starting from Q3 may be early and the motorways and after in the airports and is kind of sensitivity we I don’t know assume that overall for 2020 compared all the tracking 2019 for 30% last for motorway traffic and overall 50% in terms of airport passengers. Our best estimate right now, the global impact of the year is $3 billion in loss of revenues. And if we turn the page, we have - give you also the sensitivity in terms of what does it mean in cash. So, on a consolidated basis we're speaking about funds from operation less cash more or less €2 billion. It is indicating the pages maybe with some settings of concession fee, we are working about reviews. The OpEx more or less €300 million at group level and also in terms of reduction of CapEx means delaying some project that is not needed. Confirming in any case any maintenance program or CapEx linked to the security of our network. This is our best is – is not guidance, is not our best estimate for the time being obviously time-to –time we have to each quarter update these kind of figures looking forward, which is the real impact months-by-months. The next page is very important, because we are thinking about which is the new normal, and that maybe means more individual mobility. But I leave the floor to Benedetto Gabriele, the CEO of Telepass, Telepass for us is now our innovation at Atlantia.
Gabriele Benedetto: Thank you, Carlo. Let's talk about the new scenario for mobility. After several months and weeks, where we are starting the new scenario, we are foreseeing now and in mobility that will be more individual than before we can do years of pushing of the sharing mobility around the new business model. We'll proceed and more individual growth for sure more green and then more clean mobility. Let's talk about the five key trends that are representing confirm how this group is positioned in a uniqueness way to deal with the new scenario. The first pillar we are addressing and now it's a frictionless experience, something that I would like to call cashless payments. We are investing in a new cashless [ph] experience something that's very old experience like Telepass 30 years ago could be more actual today. And the new payments we are starting about now on the Telepass pay platform are ready to be connected with more and more match on to the tailor, those charge operator ready to innovate the business model. Also the cover journal [ph] of our users and customers will be affected by the COVID-19. Drive through by mean a new or retailer approach something that sounds drive, put in the center once again, the car, the new electronic charge points, the biometric control. The ultra shopping finance as possible, technology, digitalization of the infrastructure starting to be a topic more and more relevant for all the group. Smart mobility is another way then I love to say that the way our user and consumption Italian people, European people are changing their habits, their consumption of mobility. What I mean? We're studying some data from China after the lockdown test. And we see that for example, public transportation, still be in crisis and there is no recovery on that side. More effective the sharing mobility similar as to the case scooter, the back scooter, this kind of stuff. And we see data like managing data about the win just to buy a second car for some city – city car let's say city scooter, this kind of new mobility. We strongly believe that this kind of smart mobility will be affected also by data. More data means that smart city will be able in the future to collect data for all the user from all the infrastructure in order to control the access to every kind of services of mobility. And the pre-booking of mobility service will be another way to be as smart to drive towards smart mobility. What I mean with pre-booking today when we buy a ticket is ticketing available for all the buses and tube that is coming up –coming it would be more and more important as to the app and the technology to connect the ticketing to a exact or better slot of usage of this kind of services. More conscious travel it’s a new travel experience for sure. As a group, we have some benefits to be in some of top mind definition. It would be - we are foreseeing and now, more domestic charisma, more related to the cab driver medium distance by now or rather than a long distance. The new digital era is something that we need to deal with quite soon. The new digital data, it's able to provide us more examples of tailor-made services that we can go to offer for this new mobility people who are facing a different challenge for mobility. One example is quite well embedded in the figures we will discuss later on for Telepass that for example or they issue a platform that makes able to send some decent insurance to the consumer to cover specific risk in a specific situation of mobility The other topic is how we can leverage it from the experience of Telepass to a large corporative platform towards and across new partners finance, retailers, for green for example, will be the next wave to be integrated that to make a mobility experience more smarter from one side, and also to control it to reduce the congestion of people using those kind of services. The last pillar is a new logistic, logistic maybe you already know, but trucks never stopped during this kind of crisis. Never stops means that trucks are more and more sophisticated in time of logistic needs to manage a more efficient way and the e-commerce boom opened a new area of business related to the last mile management. Those are plans where the group is quite well positioned and where we are working for each company or each subsidiaries of Atlantia Groups for the next days and next months. Thank you, Carlo.
Carlo Bertazzo: Thank you, Gabriela. Very interesting about the new normal and I'd like to cover Page 13. These are liquidity profile and the funding. We divide the liquidity for company-by-company. As you know, each one of this company this page, the waiting and the first of all, starting from Atlantia as a holding company, not that maturity before at the end of next year. And the cash available right now €4.1 billion and the maturity for the next - at the end by 2021 is €3.2 billion. The startup in Italy is different and you know as just as before, the rating right now is BB minus coming from the Milleproroghe Decree and we have two actions here. First is maybe benefit from the new such a credit line that the granite by the Italian states up to €1.450 million and then as you can read in the press release also Atlantia needs to provide up to 900 million in the next 18 months. The property Roma is no issue but indicates they are working from achieving some agreement from capital markets and banking and maybe also benefited from credited with such a credit line up to €250 million. About this infrastructure as well as holding company is planned our liquidity is €5 billion is no issue for next years. And in case the company but has direct access to the markets, the acquisition of RCO Mexico with some specific financial agreement dedicate up to €1.2 billion. The subsidiary of Abertis in France is a HIT group and there is some debts 2.1 that will expire in the next two years. That indicates the company had the Director asked to the financial market to debt capital market as demonstrated last Friday that the issue 600 million bond to very, very reasonable price. I move on, just to let more time to Q&A to Page 14, is four pillars that I have in mind, we have in mind for the next years and first of all I dedicate some words of our organization what it does mean for us? For me is, I don't know I think that – I am working about a plan to divide the task for the Atlantia as a holding company and focus on strategy across fertilization of skills and the synergy. [Indiscernible] is an example. But in the same times to dedicate the operation, the capital deployment is a task of a Board of Directors of management or is single operating company. I stressed at the beginning, we are renewing the Board of Directors of each one of our subsidiary because I think that it is important to have a key Board of Directors key top management inside the operating company. And as I said before Telepass' crossover digital platform in the future role of Telepass will be very, very important. In terms of people, we are working around them to introduce new talent, new key managers to reinforce our team because of also the challenges that we have in future. And for me people is not only top management people. As I said before, is also the right board member inside the operating company. I have dedicated a lot of time for example, to select the new board member of Telepass the last two months and in the future, I think that we will have to improve also in the next in the other operating company. Growth. First of all, before to speak of growth, I'd like to remind that we have a full key action for 2020 as I described before, and sure the growth strategy will be focused in our core business that is professional infrastructures, but mainly overseas, but only we are looking for as you know our industry linked to infrastructures. Capital rotation is important, as you can see that we are looking core investor in each one plus for long term investors. I think that is the first one is - will be Telepass. Telepass is ready to go. And we dedicated in the last month, I don't know time to prepare the company for which tab and the second one maybe after the achievement with the government could be Autostrade per l’Italia. Right now, the process is at very, very preliminary, but in any case, any kind of a new investor move will be possible only if we're able to do framework will be stabilized. About ADR, I think ADR maybe - is a topic so that we can discuss from 2021. But I love all the questions about minority, the majority and so on. I can say that as a first step, I think that minority status is enough. And in fact on face we can consider also in portfolio rotation, also a majority, but this is not for the next year. Another point of advise is like, how we are looking for investors. I think there is a lot of discussion about these points. But Atlantia is a group operates in infrastructure and construction business and operates a public transportation services. What does it mean? It means a lot of things. So we believe that the shareholders reengagement with the wrong timing [indiscernible] is a key for our business, for two main reasons. First one bringing across fertilization idea, competence, innovation, market presence, opportunity and so on, but the hour is also benefit for the larger consensus among local governments and authorities. This is the two key messages that I like to share with you what does when we speak about to involve our co -investors. The idea around this word is shareholder engagements and consensus among the local government and authorities. The indicator also time ESG is important for us, and is not the only environment sorts of government dynamics, it means a lot of things. [Stretch], for example, risk control or risk management is something that we did. And we hired in the last few months the new internal auditors each one company, you know, the solid retire intangibles in ADR and also in Atlantia. I think that just looking the time, I leave the floor to our CFO, Tiziano Ceccarani to some comments about 2019 results.
Tiziano Ceccarani: Thank you very much, Carlo. If we move to page 16, we reported our EBITDA for 2019. First of all, we'll comment quickly to reporting the results. The group reported a €5.7 billion of EBITDA versus €6.7 billion last year. But as my colleagues previously commented, most of these reduction, approximately €1.1 billion refer to the €1.5 billion provision within the perimeter of Autostrade per l’Italia as a consequence of the decision, of course, of submitting and connecting the company to the proposal of the Ministry of Transportation infrastructure. So if you net the effect of 2019 results of this provision and the same provision accounted in 2018, the EBITDA improved by 1% on like for like basis. Going through the segment contribution, the higher contribution comes from the Albertis Group activities whereby all of the concessions both in Spain, France, and in Latin America reported increase in tariff and traffic. The same contribution €100 million comes from the total concession of Atlantia, so Chile, Brazil and Poland. And a positive contribution comes also from the Italian Airports activities. The only contribution in negative performance comes from the Autostrade per l’Italia, perimeter, but as Roberto was anticipating before, delivered clear consequence of the decision to improve both the maintenance and [indiscernible] costing 2019 and the provision for the €700 million cost, again included in the proposal to the Ministry of Transportation and Infrastructure. We then prepare a focus on the global adoption, which we do appropriately for significant reduction. €2 billion reduction in the net debt value if we move from €48.8 billion of last year results led to the €36.7 billion this year. As you can see, most of the contribution comes from the relative performance of the funds from operations in the group, €5 billion overall 50% of each coming from the activities out of Italy, so €5 billion of these FFO comes from the Abertis and the other Autovias concessions in southern Italy. Together with this contribution, we take advantage of the €1.2 billion reduction coming from the sale of these [indiscernible] satellite communication business of [indiscernible] and the cash flow, we're able to offset both the CapEx needs of the group of €1.8 billion and the €1.7 billion of which €0.7 billion paid in May to the Atlantia shareholder. The Atlantia name change refers to financial instrument and networking capital change, which we do not attribute to a significant in this main reduction a record €2 billion overall.
Carlo Bertazzo: Okay, thank you Tiziano, thank you very much. In the next page, we have one page for each one main subsidiary. I asked Roberto to start with others Atlantia and focus I think in the box regarding the action to mitigate COVID-19 that we have in place. And my suggestions and d to leave more time to Q&A. Thank you.
Roberto Tomasi: Okay, really few words regarding the EBITDA we have a reduction. We have already discussed about the increase of maintenance activities and the more provision for repair and replacement and the €1.5 billion already discussed. For the action to mitigate the COVID-19, we are working to try to saving all of the cost, not to link with maintenance activities and not link at with the activities for the generally for the safety. We have applied the nine weeks temporary layoff for more than 4,300 of our labor and we are support even if the situation is critical also how to start but we are trying to support the business of oil and food contractors in order to maintain the level of services in our grade.
Carlo Bertazzo: Thank you, Roberto. I'll ask to Pepe to introduce the back test [ph] page, and the focus obviously for the same recommendation about 2020 the mitigation.
Unidentified Company Representative: Thank you, Carlo. Talking about Abertis, and Abertis has achieved 3.7 billion in 2019 to be fully comparable with 2018 we have done certain adjustments due to the perimeter, forex and other accounting criteria and we have achieved 3.64 billion in 2019 fully comparable with the 3.41 billion in 2018 which represents an increase of 7%. If we move on to the key highlights in 2019, I would like to remark first, a good starting performance in our portfolio, growing traffic in all the countries except in Chile. Chile was heavily affected by the October protests and some social strikes excluded this effect was 1.4. And also in 2019 we did significant progress in the expenses with saving €100 million versus 2018. We launched significant volume of bond issue in Spain, which was the main issuer in Spain with €5.9 billion from issuance. And the last point to highlight was the acquisition or the 70% stake in RCO. It is a Mexican company in partnership with GIC. This transaction is still pending one administrative approval. And focusing more in 2020, I would like to highlight three points. The first is as a consequence of the negative impact of the COVID-19 we have to do more effort in expenses and our intention is to reduce €113 million in operating expenses versus 2019. I mean, we have to compensate some of the negative effect at EBITDA level. The second topic to highlight is the Abertis Board Director and the Annual General Assembly has decided to pay only the 50% or the dividend respected amount €437 million and we are going to be pay this month of April. We are applying a very conservative approach and we prefer to see what is the full impact in rating as a consequence of the COVID-19 and we try to preserve our rating as an investment grade and depend on what could be the evolution the rating assessment we will decide at the end of the year to pay or not or the complimentary 50%. And finally, we consider very active in the debt capital market and we just launched two bonds, the first was launched by Abertis in France in January €300 million. And recently last Friday Abertis the French subsidiary HIT [ph] launch also another bond €600 million. That shows our capacity to core the bond market in very good market conditions and allow us to extend the maturity with no significant maturity in the short-term. That's all related Abertis money.
Carlo Bertazzo: Thank you very much Pepe [ph]. And in the interest of the time we have I'll move on to Airports and I'll ask [indiscernible] to cover page about ADR and Nice airports.
Unidentified Company Representative: Okay, thank you, Carlo. So I will be focusing right to the year 2020 outlook and of course there will be actions which are being put in place to react to the COVID crisis. As most airports in Europe of course the ADR reacted by closing the whole infrastructure possible, so the overall on the Ciampino Airport was closed altogether as well as the Terminal 1 and Terminal 3 in Fiumicino and was operating with a minimum availability of capacity. And also internal costs and external costs were of course addressed with application of temporary layoff so it has integrated sinister deny for about 1000 resources out of the roughly 50,000 resources of the company. And also CapEx is being addressed with revision of the CapEx budget for the year with a reduction ranging between at the moment between 30% and 40% versus the amount spent in 2019. It's also to be underlying that the regulated revenue deficit incurred this year next year will be partially maybe partially recovered in the following regulatory period as provided for in the concession agreement. There is also a reference to the naturalization of Atlantia which would be basically an event expected to happen in 2020. The government has announced that the Constitution of a new code within June that for the sales process has been discontinued. And with the extension with the new code they aim to operate up to 90 aircraft in the - when demand of course will be recovering. And that also follows similar the state aid interventions for Europe, in France, Germany and elsewhere. But the new challenges quite clearly those are the one posed by the COVID crisis and namely the impact of the new safety rules, I'm referring to social distancing in the terminal, which is feasible possibly because in an onboard aircraft, which is of course, more worrying as well as the evolution of DLA market, which today remains uncertain as the supplies of course, stopped as most airlines have grounded all their fleet. Going to Page 22, NIS is a bit more of the same I am afraid therefore the actions are basically the same. So the closing down turning infrastructure and discontinuing variable costs and addressing also the fixed costs with so much partiality which means basically again, temporary layoff for 85% of the workforce as well as CapEx are being drastically reduced. One reference has to be made though on the cash evolution, which in 2019 explained a reduction in revenues because of the decision by the independent supervisory authority to cut tariffs by 33% as from May 2019 while confirming in full the validity and the application of the dual model the authority considered that to apply this character basically puts in place a transition from the single tier to double tier. This means that of course that the cut is not permanent but there will be progressive recovery expected to start happening from this autumn.
Carlo Bertazzo: Thank you very much Marco [ph]. Now the last one page is regarding Telepass. [Indiscernible]
Unidentified Company Representative: Thank you, Carol. Some few comments about the 2019. Telepass is continuing its growth on the EBITDA consolidated they're having a 6.4% of goal but much more interesting I mean 6.7 million customer unique customer that are growing out of the 5% by the end of 2009 we had €12 million of active payment means around Europe. In terms of breakdown of ratings, we are reducing the dependency from the tolling [ph] even though the tolling is growing, it is still growing abroad aside from Italy. We've reached from the 2019 11 countries covered by our tolling solution. The mobility business line is growing around 20% in terms of revenues, and tolling in the insurance averages only just 1%, but the quality of products beyond is contributing to the EBITDA growth of more than 5%. We’re changing products, more quality in the products, which means more profitability. In terms of key highlights, I will try to remark a few points. We are working to scale up the new mobility platform, the mobile data service platform, who are reaching out to a million active customers that are not using any more one services, but they are using several services out of the 21 different services we have launched in the last year. Strong growth in terms of transaction volume, I would like to provide you two figures. Tolling is still growing. It’s is still growing as to our New York peer conference. The foreign country is growing back more and more the engagement, the number of people having somebody is starting to use more and more our technology. Even though the new mobility, we would like to show for the first time how is being in term of transaction volume, 200 – more than 200 million with 21% of growth, which means that we are having more engagement in the – in the client base to use other services. The penetration is increasing and this is quite good news for the next year. We – in 2019, we also launched our Insurtech platform as a pilot phases. As you probably know, in the last 10 years, we were solving just one policies, which was the roadside assistance. Right now, we have launched a new platform and in the pilot phase we were able to manage 10,000 policies. Providing you some feedback about 2020, the main comment is the resiliency of our business plan. In the first quarter, we are consolidating a guidance, which is more or less aligned to the budget we discussed at the end of the last year because our business model is based on a subscription fee model. The resiliency, the law or perception of precious moments from our customer means our resiliency and we are confirming our trend. Our business plan 2020-2023 is confirm and basically is based on the three main directions. We would like to continue to be a leader in terms of tolling increasing it to reach the number of 20 countries covered all around Europe. New business segment have been covered with more attention by us. We will focus on the consumer side, but visa side cooperation are still have an uncovered need of mobility, efficient way of mobilities, we will launch specific solution on this segment especially providing them an VAT [ph] recovery, which is quite efficient. We will launch in the next month after summit I will say the first onboard unity – connected onboard unit thanks to technology from 4G technology, which means that we are entering in a more complex mobility ecosystem providing new services around that, but we will be more ready to scale up also issuance services, based on new boxes. COVID-19, we discussed before. So, [indiscernible] is even more win, but more cleaner, which is – and this is our statement, no few comments, no more comments on that. Maybe it's more interesting to say how we are increasing the number of policies sold from the beginning of the year just in the first quarter, we were able to sell 20,000 of policies, which means that 1% of our customer already are buying policies from us in the first quarter, according to their experience expanding data policies. It's really good news. I mean, we would think that for the next quarter we would be able to bring from 1% of penetration to 5% of penetration.
Carlo Bertazzo: Thank you very much, Gabriel. With respect to more or less our schedule. We want our [indiscernible] representation and I think that we can leave the room to the Q&A.
Operator: Excuse me, this is the Chorus Call Conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Nicolò Pessina with Mediobanca. Please go ahead.
Nicolò Pessina: Yes, good evening, everyone. I would have the first question on the negotiations in support settlement with the government. I'd like to know if you can provide any detail on the negotiations, on the timing and maybe which kind of feedback you received if any from your proposal? Second question on the potential sale of a stake of ASPI and I wonder if this is related to the settlement with the government as suggested by the press or it's a different story? And if you plan to retain the control of ASPI, or you're hoping to sell more than 50%? And last question on the cuts and rotation strategy, would you feel comfortable in adding more that to the current amount you're already have today? And if so until what extent you would feel comfortable? Thank you.
Carlo Bertazzo: Thank you very much. If we go to the first questions, as we indicated before, the proposal of – the comprehensive proposals of Autostrade per l'Italia was signed to at the beginning of March, probably much more procedure. And that is continuing its cash in meeting with the governments, but we are awaiting the formal answer for them. And we look obviously that take account that they are examining with great attention of our comprehensive proposal, but we understand that several government entities in board and they need time. We will obviously get that in the next week. We request we can sit at the table with the government officials and we start first of all from the new business plans would be presented, but also about the revised version of Article 35 of the military. But the second questions, if I understood well, looking for – for the process of involvement new co-investors about our startup on retire, we are very, very at preliminary stage. I think that at first, as I said before, any kind of involvement of the new potential co-investors national or international, we'd be possible only after the achieving agreements with the government and stabilize the framework, the tariff and the concession framework. Majority and minority, as I said before, I think the first phase is important to involve some co-investors as minority stakes. Right now, we're trying to own 80%. We have the possibility to reduce our stakes up to 50%. But – and to share government's opportunity with our partners I think that the stake grows to 40% is a very, very important stakes. The last question about the strategy and that if I understood well the questions, our idea I thinking – I am assuming that you're speaking about at front tier level, in terms of debt. You know very well that the existing debt at the front end level coming from a better transaction. Usually Atlantia in the past year was a positive net financial position. I think that is good for holding company to have cash, net cash and but just to realize the complete the transaction about batteries, we use to leverage. But in the coming year, I think of also in account the strategy to involve our core investors. The proceeds can be used for growth, can be used for dividend, can be used also for reduction of debt.
Nicolò Pessina: All right very clear. Thanks a lot
Operator: The next question is from Elodie Rall with JP Morgan. Please go ahead.
Elodie Rall: Hi, good evening, and thank you for your presentation. I have a couple of questions if I may. So first of all, could you clarify the proposal and I haven't fully understood it on the one hand, the €2.9 billion of new proposals that you have explained to us here is it in addition to the €2 billion of CapEx that you have previously communicated on? So basically, can you clarify that basically, we're looking at €4.9 billion of total proposal versus where we were before the collapse of Genoa Bridge? So that's my first question. Second, I didn't fully understand what you expect in terms of COVID compensation. Did you say €1 billion and is this coming from, is it a request that you've put towards the Italian government? So how would you be compensated on that, so basically, are we to understand that out of the €4.9 billion proposal that you've made, you would expect to get €1 billion, basically compensation from COVID the effects if I missed something there? And lastly on dividends, so I understand you're not paying any dividend this year, but is your proposal is approved. Can you give us a bit of color about what your strategy on dividend would be going forward? Thank you very much.
Carlo Bertazzo: Thank you very much. I’ll try to answer the first question about €2.9 billion and the CapEx program and you can see the page of a presentation let me looking for that is Page 7. CapEx program is a total amount for the next year, up to €13.2 billion or €14.5 billion. There is some overlap with €1.5 billion no, it is not overlapping and maybe because €1.5 billion is will be almost dedicated to tariffs its down for target customer along line concession. And there is no overlapping €1.5 billion is one shot amount. The second question is about COVID if I understood well, yes with sensitivity, is a sensitivity. And these all information but yes these all information but we receive also from expert different countries different transportation, toll road, airport and so on. This is our best estimate but we can and but – is not the target, is not an outlook because we have to update or quarter-by-quarter this kind or estimation. You've asked also the four novel compensation for COVID-19 impact and I think that there is some discussion though be to the association about Italian toll road, but I leave the floor to the back door just to cover the point which kind or form we are thinking or we are proposing to the government just to cover the point things out that will speak about our money and is unprofessional event.
Roberto Tomasi: Yes so, we are discussing internally with the other concession in order how to solve these specific issues. As explained by Carlo before, we are expecting an impact on the revenues that even if are not stable numbers between the €800 million up to €1 billion in 2019 compared to the new tariffs 2020 compared to the new tariff regulation, we can ask to balance these amount. And so, we are point out with a formal letter to the ministry how to try to solve these specific issues. You can understand that these discussions is not using this moment consider that we have to understand our – the new regulation although authority can be applied compared to the impact of the economical effect of the COVID. And so, we are asked these meetings with the ministry and we are looking to understand how to try to say to order to face this specific item.
Carlo Bertazzo: Thank you, Roberto. About the last question dividend policy for the future, the Board of Directors today proposed no payment dividend for the next May to the shareholder and I think that for the dividend the question is for full year 2021. It means that the dividend paid in May 2022, but I don't know, to fix right now the dividend policy just to have a prudent approach. I think it's too early to say or to speak.
Elodie Rall: Okay, thank you.
Operator: The next question is from Enrico Bartoli with MainFirst. Please go ahead.
Enrico Bartoli: Hi, good evening, and thank you for taking my questions. The first one is related to the financial plan that you presented to the government with application of the ART Regulation. If you can provide us some details that the application or this regulation could have on your financial plan, maybe in terms of [indiscernible] its evolution, and the tens of returns compared to what can be expected applying the current and solve of the concession agreement. Then I have a question regarding if you can share us – your view about the airport business because what we are seeing is kind of where transformation on the way our people will fly over the next quarters. And also these experiences in the airport will be different for our managers, safety procedures and whatever. Can you share us a bit how you think that this business could change over the next quarters? If you have a view on the possible recovery on the passengers, and is considering the situation of your [indiscernible] companies, if you are seeing that some significant discounts will have to be granted to them? The other question is related to the debt issue. If you can share us a bit some color on the covenants that you have because of course this year there will be an increase in net debt and EBITDA ratio and so if you would have some redemption possible redemption of that? And last on the recovery on traffic and passengers from the impact of the COVID, you mentioned, what is mainly expected to happen in total in Italy? I understand that you maybe there will be the possibility to recover this impact in the next regulatory period. If you can share us some possible recoveries in other counties? Thank you.
Carlo Bertazzo: Thank you very much. I think the first question about details of the business plan represented to the guarantor in line with the new regulation in the resolution of last June by ERP [ph]. I think but Roberto you can cover better the question.
Roberto Tomasi: Yes, I don't want to go in the detail because it really is very complex plan. The important issue that we have underlined speaking about the level of the maintaining activities that we have already foreseen for the - after the 2023 the level that you have seen in the figures that we have shown there is an important issue about the level of productivity foreseen by the authority, we have tried to match the work requested by authorities even if there are important impact in terms of a reduction or potential reduction. So therefore to say that this is or these are the final figures I think it is important to share with the grant or our position. What I want to underline is that the level of investment of the return of investment that we have foreseen for the new investment that the rock - we have completely accepted that the rock foreseen by authority for all the new investment and in our industrial plan and we have also foreseen for the general bypass to apply the new rock [ph] foreseen by the authority in order to reach an agreement with the government. Finally, what we are confirming, this plan that we have to maintain the same level of the return of investment for the investment already done. So, this is a principle that we have clearly underlined in our economic plan. I don't want to say what the tariffs increase, because the discussion is still pending. So, we will move in the next week to try to understand the possible increase of the tariff here. Obviously, as we have already said, there is the criticalities about the traffic because in the traffic and we have foreseen an increase another increase of 1.2% in the next period. So, we have to understand that in the next month, which will be the COVID effect.
Carlo Bertazzo: Thank you very much Roberto. About the second question of the impact of COVID in the ROI and business and airport business and which is at our, what we have in mind about the way of the future [indiscernible] industry I think that the best people to guys to respond to the question the answer the question is Marco.
Marco Troncone: Thank you, Carlo. Yes, the question – yes, I think it was about the impact on the business model and the operating model of airports now and describes is certainly the airport is now is getting organized in order to respond effectively to be prescriptions that are envisaged from now on, which of course are mainly based on social distancing in the airport facility. So, therefore, the traffic flows - the passengers flows would be managed in such a way not to let me say it is about mixing with the one, with the others and avoid queuing and avoid again totally reducing distance between persons, plus there will be a number of actions in order to ensure the certification and sensitization of the spaces as well as other processes in order to check temperature of passengers in the entrance of the building and then the boarding gate.  As far as the impact that will be in place in the airlines business model, that is a bit more difficult to say, as still there is not the public common view in force regarding the eventual potential distancing in the aircraft cabin, which of course poses some doubts regarding the commercial sustainability of the operations. So regarding the revenue recovery, which I think was the second question on this matter. As I said, the concession agreement ADR provides for a portion of the traffic is to be avoided by the concessionaire and the traffic versus it is in excess of 5% over the five years period, which shall be recorded as an allowed cost in the following over the period, and that is for the airport the concession. But there's also another provision also in the Nice concession agreement, which basically says that indeed, Article 74, that in case of unbalancing of the economic equilibrium will be concession of the current balance of the concession, then there is the possibility for the concession to call for any balance for restoring such agreement. I will throw tariff adjustment or through cash reimbursement or through other modification of the construction contract, which may also include an extension of the concession duration. How these provisions will be utilized again, it's a bit too early to say.
Carlo Bertazzo: Thank you very much Marco and if I remember well, the last question was about the financial covenants inside the group, I'll live it for to Tiziano.
Tiziano Ceccarani: Thank you very much, Carlo. With respect to covenants, of course, we have different covenants, financial covenants within the financial agreement within the group except for the Abertis, which is in a safer position, most Italian company asked me first and then of course, the other party. We are really monitoring very, very closely this covenant, so we should be check and verify within the beginning 2021 with the financial statement 2020. Of course, most of the concerns comes from the situation of the COVID potential impact. We mentioned before the sensitivity we run. Within this sensitivity, we can be in a safe position up to a certain level. I guess on top of that, it's a market situation is never just an Atlantia situation. And of course, we will be starting discussion with most of the financial institution of [indiscernible] as we ask financials and IVR to be ready to discuss waiver or any other solution to again support to the financial institution and avoid the default of the covenants beginning 2020. The first again, this is only in the worst case scenario and very, very strange situation.
Carlo Bertazzo: On the possible recovery of traffic also in France, Spain, Brazil very, very quickly just to have an idea of the possibility to recover the impact of the COVID.
Unidentified Company Representative: While we have countries is very, there is some delay as you know. The impact of COVID they have few weeks compared to Europe. For the time being we can make a general statement about Latam. We can say that the impact seen less negative, compared to Europe. What does it mean? It means that if our weaker point is approximately in the last week 75%, 80% for the time being in Latam and like Chile and like Brazil, the general impact overall of 2020 could be close to 20, 22, 23 [indiscernible] is very, very preliminary estimate, but the results are Roberto may go to with me, I don't know Roberto, if we want to go over some specific points about see the end version.
Roberto Tomasi: Yes sure. As Mr. Bertazzo was saying the COVID impact affected the Latin America assets with some weeks of delay, compared to Europe, approximately three weeks. The overall impact has being milder compared to Europe. In vast number in Brazil, we were experiencing a classical degrees year-to-date in the range of 10%, 12%. In Chile’s it is a little bit higher around 15%. So much lower compared to Europe, this is also because of the nature of the assets especially in Brazil. And so, you have been asked us with point-to-point connection, drastic suffering a little bit more in Chile. This is also because of the contribution of the European assets, the asset network, we have been Santiago and Chile area. Well some restrictions of area I mean there is a lockdown over the entire area seen in the country. So basically no traffic at all and we expect once the limitation will be removed in the next weeks coming a fast recovery.
Carlo Bertazzo: Thank you very much Roberto and now the next one.
Operator: The next question is from Stephanie D'Ath with Royal Bank of Canada. Please go ahead.
Stephanie D'Ath: Hi, good afternoon and thanks for answering my questions. The first one is regarding your sensitivity analysis. So assuming 30% decline in motorway and just a percent decline in airport passengers, leading to a €3 billion revenue loss, can you please elaborate a little bit how that translates into EBITDA? And I know that on Slide 11, you have given us a little bit more detail on the potential €2 billion cash flow loss, but I was curious to understand what the assumptions were in terms of increased OpEx net increase, with a lease extended government support for technical employment will allow you to not have a very strong operating the leverage? And then my second question please is regarding your stake in GasLink, could you please let us know what your strategy is and if you were looking to raise some cash where you still committed long-term so that figure if you could consider selling down?.Thank you.
Carlo Bertazzo: Thank you very much. I’ll start with the answer about the last questions. GasLink [ph], our strategy I think that we have more or less tool manufacture of [indiscernible] is the stake is close to 15%. We apparently remain the largest shareholder right now. And in general terms, I can say that's but the gapping is a strategic option for Atlantia. And for the time being, we will wait to understand and unlock its potential. And you know very well that also the companies affecting by COVID-19 that looking forward I think that GasLink is part of a currently a group in terms of stakes nice to having our portfolio. About the first question is sensitivity, well it's very difficult right now to go in detail as we spread out company-by-company, the impact at EBITDA. I think that the figures that you see on Page 11 is important at the end to cover point about the cash. And I'm not fair about the account impact and we are working again I repeat about OpEx, about CapEx, but to have a sensitivity at different level or PMA [ph] like EBITDA well that profit right now is very, very early. Thank you.
Stephanie D'Ath: Thank you.
Operator: The next question is from Stefano Gamberini with Equita. Please go ahead.
Stefano Gamberini: Good afternoon, guys. Three quick questions from me. First of all regarding this new rap, based [indiscernible] you challenged at the beginning this season. Could you help us to understand what are the main differences between what the regulator introduced and this proposal that you submitted to the government in terms of [indiscernible] and in term of also this system. What I mean is, versus the current system, do you see significant differences in terms of price growth in forthcoming year considering your CapEx plan? The second question is still on this topic, all the CapEx that we see at page the line number 7 and also the maintenance costs are now remunerated with the new tie system excluding the €1.5 billion this is at the beginning of this part of the compensation you submitted to the government. Then the second question, should the agreement with the government avoid any future risk from the investigation in the trial on ASPI bridge? What I mean is now at the end of this agreement that you expected that no risks are in the future regarding your concession from the collapse of Genoa and the inquiry on that? And the very last question regarding would this agreement with the government on ASPI be enough to upgrade the ASPI and Atlantia that ratings to investment grade or do you need some other steps in order to come back to the investment grade as December [indiscernible] is your main target right now? Thanks.
Carlo Bertazzo: Thank you. About the first questions, as Roberto said before, resolve details. And the new remunerations scheme provided by the authority is completely different. And I think that we are used to thinking about the rub system. And, but the principle at the end we nobody while the system because ADR really applied the rub system in our subsidiaries around the world working with the rub system, that's the main difference at the end, coming from the interpretation, what does mean to maintain the same remuneration about the old investments. This is I think the key points, the key points the first key point. The second one is about productivity, because the authority presents to self retire 2.2% a demo productivity annually basis, but is very, very high and we are discussing with them to find the right numbers. Productivity means a lot of things, but sure the position of the company is to exclude in any case the maintenance cost from this kind of productivity. Because as Roberto said before, for the next five years, we have to increase more or less 40% of the amount of maintenance. About the second questions is there are different reasons some our risk in case of cheap meant over agreement with the government about genuine change of course, from days or for information and the discussion that we add, if there is an agreement with the government. There is no risk of a future revocation from the grantor, a link to the Genoa bridge. The last one is, well, about topics and my calls, you know very well that in the previous concession scheme there is some amount of CapEx linked to the so called 1997 program is not remunerated, and some our CapEx coming from 2004-2007 agreement with the government is remunerated. The new system obviously have to provide in blended way at the end the same scheme there is no difference, because the principle is that the all topics amount are ready then at the same remuneration that provided all [indiscernible] scheme. About the maintenance, maintenance is different and will become in the new scheme as OpEx remunerated.
Stefano Gamberini: And getting the investment grade once you reach an agreement with the government what do you expect?
Carlo Bertazzo: Well, we are confident issue dependent obviously which final agreement, but these are the business plan that we do provide. Their financial criteria foreseen in the business plan is in line with the investment grade company.
Stefano Gamberini: Many thanks.
Operator: Our next question is from Marcin Wojtal with Bank of America. Please go ahead.
Marcin Wojtal: Yes, thank you very much for taking my question. First, can you comment on your stake in Hochtief what is your level of commitment to this company? And maybe more broadly, you have been mentioning asset rotation, is there any rotation in the pipeline for any of your international assets, perhaps including any of the assets Abertis? Then question number two, is on Autostrade. Can you clarify in your submission for the new economic turn are you requesting an extension of Autostrade concessional term or perhaps you're asking for a terminal value to be recognized at the end of the concession? And lastly, and this is just a clarification, can you just clarify would you consider going below 50% stake in Autostrade at some point or you want to keep it above 50%? Just to be clear, thank you.
Carlo Bertazzo: Thank you very much. First question about Hochtief about stakes, first of all I'd like to remind that the stakes which we have in Hochtief have been from the transaction made about with Abertis and we are some industrial projects with them, but these are under evaluation. And I'd like also to remind that one third of our stake is very protected by taller transactions that the company did last year. Asked me if I understood well the questions, if we are considering some expansion of allowing for the concession of a terminal value? Frankly speaking, no discussion or proposal or idea about the expansion of the current length of Autostrade per l'Italia still which remained 2038. Maybe the tenure value could be an element of negotiation. If there is some possibility to postpone some revenue, some cash from tariff increase for the end of the concession, that we are very financial pay a lot of attention about the financial scheme and there is some ratio in case, but we have to comply because just to avoid some risk that are around with war. The concession taking about to move too much value at the terminal value. Maybe you know very well, that these are the European Commission criteria. They indicate that in any case the terminal value cannot be higher than 1.5 times EBITDA at the end of the concession. Now then the last questions, majority minorities stakes in Autostrade per l'Italia, I think that I really answered the questions. It is very, very preliminary to speak about Autostrade per l’Italia process. There is some investor, Italian international investor that is looking at this kind of opportunity and but in the first phase, I have to say two things, one obviously without our agreement and clarity of concessions team regulatory in place it is impossible obviously, but some investors would be interested and certain in the first place we are speaking about minority stake.
Marcin Wojtal: Thank you.
Operator: The next question is from Jose Arroyas with Santander. Please go ahead.
Jose Arroyas: Yes, good afternoon. A couple of questions on Abertis and if you could clarify in the first place and your plans to grow the business and if resize is still an option? And secondly also on Abertis, the equity ticket associated with RCO was in the region of €1.5 billion and I was wondering if that has the potential to be lower on account of the depreciation of the Mexican peso? Thank you.
Carlo Bertazzo: Thank you very much. I'll ask [indiscernible] to go over the points. And just thank you very much [indiscernible].
Unidentified Company Representative: Okay. Regarding that plant growth, first of all, the priority or waste utilities the more profitable is to look for opportunity in the current countries in which we are working on because that's allowed us to maximize our profitability and minimize our risk. Secondly, we will be very selective looking for opportunities in new countries. I mean, as CDs in Mexico, we continue to being analyzing all other countries, but with very prudent approach and always maintaining the financial discipline. And third, we remain also focused in some Greenfield project and yellow field project in the U.S. and Canada and Australia market with the same criteria. The second related RCO, we continue with the same commitment in terms of topics. We hedge our investment. That means we expect to close the deal probably at the end of the first half.
Carlo Bertazzo: Thank you very much. Next one please?
Operator: Your next question is from Nicolò Pessina with Mediobanca. Please go ahead.
Nicolò Pessina: Yes, good evening again. Just a very quick follow up. First of all on RCO again, I would like to know if we can have the timing of the closing of the deal? Second, on Brazil specifically, there have been a few options lately, but [indiscernible] be there for the assets for the new concessions awarded by the local authorities. And so I'm wondering if there is any specific reason why you don't find when you options are attractive? And the last question on [indiscernible] if you can disclose how the value of the [indiscernible] is calculated in the new current model remunerated by the Transport Authority in Italy? Thank you.
Carlo Bertazzo: Okay. First of all regarding RCO, as I said before, we expect to close and to obtain all the approval at the end of June. Then very soon, in any case, we have had some delays as a consequence of the COVID and also Easter period and that was normal delays in the conversation with different administration. Talking about Brazil, we are active in Brazil. We have been analyzing some projects. As I said before maintaining the financial discipline, we are seeing that people sold fan [ph] are leaving in a very, very aggressive way with very low returns and we are not on that mood right now and never going forward. I think we try to apply our fans to pairing CapEx for maintenance and with very high returns and also we are expecting more opportunities not only in Brazil, but also in other countries. More taking into consideration that after the COVID-19 effect, we expect strong positive reaction in our sector, talking to all the different government, for sure to promote new infrastructure investment in toll roads and in the other sectors will be one of the priorities for many government to relaunch the different economies and that will open more opportunity for us. About the Brazil assets, and first of all, I'd like to point out as Pepe [ph] did during the presentation, that some efficiency is already done, is already in place and is still going. It is important because this cross fertilization in time a good practice, especially for permutation, but more in general, I think that is not right time now because there is also COVID effect. These are low feeds to thinking about before some amalgamation between the assets. In general, I think that we can thinking about also to consider an hour combination not only with the asset Abertis, but we are welcome us with our partners. About the rub value over to solitary tire I think that is too early to speak, because we are all well off material, a lot of calculation, a lot of details that any kind of number that we can provide could be the wrong number or a lot of misinterpretation.
Nicolò Pessina: Sure, many thanks.
Operator: The next question is from Nicolas Mora with Morgan Stanley. Please go ahead.
Nicolas Mora: Yes good evening gentlemen. Just taking a big picture view, I mean the medium is little bit lost as to what's revealed from AG coming here. So I understand you, we want actually agreement on SAP you want to sell a stake there. But at the end of the day, within two, three years, where do you want to go? Do you want to grow? Do you want to shrink? Do you want to manage debt? Do you want to pay dividends? Do you want to do everything? I mean, there is a debt sustainable issue at Atlantia. How are you going to sell these first then what are you going to do? I mean, are you happy to be a holding company from here? Will you be valued by the market as such? Actually I am a bit lost, I understand you want to sell assets that's fine. But how do you think you'll take the share price back to €25 without strategy?
Carlo Bertazzo: Oh, Thank you very much for the questions. Is about the futures strategy or company and the future of this entity and this company? Well, first of all, I think that we are to thinking about, which is the amount of a future dividend that the company can receive from a subsidiary? This is the first lack. And I don't know, if we think about the normalized amount dividend inflow could be off the COVID obviously, higher than want to be Europe and what basis. [indiscernible] what basis. We have to decide to allocate this kind of inflow depends and with bonds with dividend to the shareholder we tend to decided to debt to repayment for new investment opportunity. Is anywhere to say right now, because we are fighting with the COVID-19, but the first way that I like to point out that our – we are very close to the financial discipline first. And second, any kind of proposal that we made to the Board Directors is in line to value creation. I know very well with this general statements, but you have to consider a very special moment that we are living and second that I know verification over asset could help us in both sides, one reduction of debt and second to a high powerful growth.
Nicolas Mora: So this is so this is firepower and growing in flights, you would be happy with for example, a 30 billion amount of net debt around four times net debt EBITDA that would be a level from which we'd be happy to start growing again or you need to be more cautious in the post COVID world where that acceptability is likely to be lower than basically your 2018 or 2019 level?
Carlo Bertazzo: Oh, thank you again. First of all, I think that we have to moving in different world in different strategies. I mean, when you speak about 30 billion debt is consolidate debt. It’s not debt out of all Atlantia is a debt of some subsidiary, but will own only some stakes, sometimes 50%, sometimes 80%, sometimes 100%. I think that as I indicate in the chart above [indiscernible] one thing is Atlantia holding while our think is operating company. If you continue to look at Atlantia with the consolidate account I think that is the wrong way to see the future strategy of Atlantia. Right now I think that Atlantia is €5 billion in debt and I'm working about this kind of plan in the future, to reduce imbalance with the dividends, but each one company taken down to the landfill concession, take a COVID topics plan, take account of the dividend policy and to finance its balance sheets. It is completely different than our approach.
Nicolas Mora: Okay any [indiscernible] and last one so that that applies of easy to sue authorities. So you will get 50% of the dividends from then in one a few days time, these guys have another one source of dividend today are you’re number one source of dividend today. How much pressure will you put on them to get some more dividends in latter part of the year 2021? I mean how dependent are you in terms of flexibility to getting that Abertis dividends?
Carlo Bertazzo: I think that as I said before, as you know, in the normal situation after COVID we can expect that the higher rate 1 billion of dividend for our work subsidiary as inflow proceeds that depends over different approach that we have, I think that with some assets that able to pay attention between leverage growth dividends at the end we are speaking about the same times or each one that maybe if there is some project of a specific assets that intend to grow, I think that is not our cry already to extract as much as possible dividend of a single asset. If there is no investment [indiscernible] organic or non-organic or okay, obviously, the dividend is important, but for example right now I’m speaking about Telepass. The Telepass paid more or less €600 million dividend. In the future [indiscernible] even your award that we have, if the Telepass as you know decides not to pay dividend for some years because of M&A activity could be very important, we are fine.
Nicolas Mora: Okay. Thank you very much.
Operator: Gentlemen the floor is back to you.
Carlo Bertazzo: Yes, we have time for another one question. Yes, thank you.
Operator: The next question is a follow up from Stefano Gamberini with Equita. Please go ahead.
Stefano Gamberini: Many thanks. Just two quick things, the first regarding 87. So, could you give us some color if you can regarding what could be the amount of this credit considering the current declining traffic for [indiscernible]? And if you already have some talks with the government for a solution and not an extension of the concession of some other solutions, even if the Supreme Court postponement any decision to 2021? The second question regarding page 9. You have a series of proposal submitted to the government, could you share with us where you are more ready to do some, to have more flexibility and which are on the other side, the items, where you can change and fundamentally in the negotiation with the government, I refer, particularly regarding the early termination and so the article 35 of [indiscernible].
Carlo Bertazzo: Thank you very much for the questions. I think that [indiscernible] would be the right guy to answer about 87 since he is very close to the situation of the topics.
Unidentified Company Representative: For sure. Thank you, Carlo. Regarding the 87, the 87 tag out will be resolved. The outcome will be from the Supreme Court. We have to defer resolution from the Supreme Court postponing the final decision up to the end of the concession. This concession will finished in August 2021. After that, and regarding the gap between the traffic expected and the real traffic, we will go to the tribunal asking for the compensation. That amount will be around €2 billion, €2.4 billion, that depends on the gap. I mean, this traffic that we are losing right now will be included in the claim to the government. But in any case, the resolution will be probably in 2021 or later, that is difficult to predict, because the tribunal are very difficult to manage and that it will depend on how busy are the Supreme Court in the state. That means, a part of that, we maintain order account receivable sorry, before taking consideration that these claim is out of our balance sheet. That means we lose with no compensation. There is no impact in our financial statements. That could be only an upside. On top of that, we maintain an account receivable in the balance sheet and asking for the compensation of the investment that we did in the past. We capitalized the account receivable and that there is no any discussion with the government about this amount. I mean in the past, never the Government Act again. This account receivable, I mean we expect not to have any issue at the end of the concession.
Carlo Bertazzo: Thank you, [indiscernible]. About the second questions, the flexibility around the negotiation with proposal of the governments are starting to retire. I think that first of all is not a question to be flexible in the flexible. The proposal is still there from March 5. And it's very comprehensive proposal that the cover the most important point to have the condition to put in place, very huge amount of CapEx and maintenance program. I think that is so sensitive. Any kind of information about this guy with this negotiation that I don't like, I don’t know to cover the points in terminal, which is more easy to achieve or more difficult to achieve. I think that we are speaking about a package and for these reasons I like to speak about comprehensive proposal.
Carlo Bertazzo: Thank you very much for your time. I think that we appreciate these kinds of questions and we hope obviously you appreciate the answers and the day after tomorrow the IMO report will be available on websites. We tried to introduce in the cover a lot of points and delivery as much as possible any information about the group. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephone.